Operator: Good morning, ladies and gentlemen, and welcome to Metro Inc. 2022 Third Quarter Results Conference Call. [Operator Instructions] Also note that the call is being recorded on August 10, 2022. And I would like to turn the conference over to Sharon Kadoche. Please go ahead.
Sharon Kadoche: Thank you, Sylvie. Good morning, everyone, and thank you for joining us today. Our comments will focus on the financial results of our third quarter, which ended on July 2. With me today is Mr. Eric La Flèche, President and Chief Executive Officer; and François Thibault, Executive VP and Chief Financial Officer. During the call, we will present our third quarter results and comment on its highlights. We'll then be happy to take your questions. Before we begin, I would like to remind you that we will use in today's discussion different statements that could be construed as forward-looking information. In general, any statement, which does not constitute a historical fact may be deemed as a forward-looking statement. Expressions such as expect, intend, are confident that, will and other similar expressions are generally indicative of forward-looking statements. The forward-looking statements are based upon certain assumptions regarding the Canadian food and pharmaceutical industries, the general economy and our annual budget as well as our 2021/2022 action plan. These forward-looking statements do not provide any guarantees as to the future performance of the company and are subject to potential risks, known and unknown as well as uncertainties that could cause the outcome to differ materially. A description of these risks, which could have an impact on these statements could be found under the Risk Management section of our 2021 annual report. As with the preceding risks, the COVID-19 pandemic constitutes a risk that could have an impact on the business, operations, projects, synergies and performance of the company. We believe these statements to be reasonable and pertinent at this time and represent our expectations. The company does not intend to update any forward-looking information, except as required by applicable law. I will now turn the call over to Francois.
François Thibault: Thank you, Sharon, and good morning, everyone. For the quarter, our total sales were $5.9 billion, an increase of 2.5% over last year. Food same-store sales increased by 1.1% for the quarter, while pharma same-store sales were up a strong 7.2%. Included in the third quarter are 2 nonrecurring items. There are $7.7 million of direct costs related to the 1-week strike in our distribution center in Toronto, and that was offset by a gain on sale of assets of $8.7 million. The strike costs have been revised downward from the $10 million estimate we had disclosed in the previous quarter. We're talking here strictly direct costs such as security, additional transport, waste of perishables, net of savings on salaries, and we're not talking about lost sales and lost margins. Our gross margin stood at 19.8% of sales, stable versus the same quarter last year. Food gross margin came down a bit, but were compensated by stronger margins in our Pharmacy division. Gross margin included $5.3 million of the total $7.7 million of direct strike costs. For the operating expenses, they were down 1% or $5.7 million year-over-year and represented 10.1% of sales versus 10.5% of sales last year. The lower level of operating expenses is mainly due to a reduction in pandemic-related expenses. Operating expenses were impacted by $2.4 million of the direct strike costs, offset by the $8.7 million gain on sale of assets that I referred to earlier. In the third quarter last year, operating expenses included a $5.1 million gain on sale. EBITDA for the quarter totaled $565.1 million or up 5.9% year-over-year. And as a percentage of sales, EBITDA was 9.6% versus 9.3% last year. The adjusted net earnings were $283.8 million compared to $61.2 million last year. That's an increase of 8.7%. And our adjusted net earnings per share were $1.18, up 11.2% versus last year's adjusted EPS of $1.06. 40 weeks into our fiscal year, capital expenditures amounted to $446 million, an increase of a little more than $62 million versus last year and the higher level of capital expenditures is mainly the result of our ongoing investments in the modernization of our supply chain in both provinces as well as in our retail store network, including in-store technology. The rollout of in-store technology across our food network is almost complete. During the third quarter, we added another 41 stores equipped with self-checkout technology, another 21 stores equipped with electronic shelf tags, bringing the total to 421 stores and 239 stores, respectively. After 3 quarters, we have opened 4 new food stores and converted another from Metro to Super C in [indiscernible]. We are very pleased with the sales level since the opening. Also, we relocated another Metro store and carried out major renovations in 11 stores, representing a net increase of 141,000 square feet or 0.7% of our food retail network. Turning to our current normal course issuer bid program, we have repurchased between November 25 of last year and July 29 of this year, 3.8 million shares for a total consideration of $256 million, representing an average share price of $67.38. On June 6, given the high volatility in interest rates and uncertain future market conditions and given our high level of cash on hand, we proceeded with the early redemption of our Series F notes maturing December 5, 2022, for the entire $300 million principal amount outstanding. The early redemption allows us to choose the timing of our refinancing when market conditions are favorable. Our financial position remains solid, and we have an untouched credit facility of $600 million. So that's it for me. I'll turn it over to Eric.
Eric La Flèche: Thank you, Francois. Good morning, everyone. We delivered a strong performance in both our food and pharmacy businesses in the third quarter, growing sales by 2.5%, EBITDA by 5.9% and adjusted earnings per share by 11.3%. This was achieved in a challenging operating environment marked by accelerating inflation as well as the ongoing labor shortages that are impacting the supply chain. Food same-store sales were up 1.1% in the quarter compared to elevated sales last year. Transactions were up again while the average basket declined, albeit remaining significantly above pre-COVID levels. Our internal food basket inflation increased to 8.5%, up from about 5% in the prior quarter as the industry continues to experience higher than normal inflationary pressures in cost of goods sold. Inflation affects all departments and categories right now. Consistent with the industry, our food tonnage in the third quarter was down year-over-year because people are eating out and traveling a lot more compared to last year when pandemic restrictions were in place. Promotional penetration increased as customers are managing their budgets in the current high inflation environment. We saw the shift from conventional to discount accelerate when compared to the previous quarter. We are well positioned to meet the changes in consumer behavior and deliver the best value possible to consumers in these inflationary times with our multiple formats, effective promotional strategies and strong private label offering. Pharmacy comparable sales were up 7.2%, with a 5.6% increase in prescription drugs, helped by COVID-related activities such as the distribution of rapid tests. Front store sales were up 10.5%, supported by strong growth in over-the-counter medications despite significant supply issues and also in cosmetics as people socialize and return to offices. Turning to online demand has softened as trips to stores increased. However, our sales remained essentially flat versus last year as we continue to add capacity selectively. We remain focused on improving our customer value proposition with our recently launched express delivery on Metro.ca offering delivery in under 2 hours. In addition, in May, we signed a partnership with Instacart, and we now have about 180 Metro stores offering the service. That's on top of our Cornershop partnership. Over the next few weeks, we will be launching Click-and-Collect in the superset discount banner. The deployment will be gradual, and we plan to roll out the service to the majority of our discount stores. We are confident in our online model, which provides several shopping options and enables us to meet customer demand as it evolves. We are on track with our supply chain modernization program as the transition to our fully automated frozen distribution center in Toronto is now done and the productivity of the new center is meeting our expectations. Construction of our fully automated fresh and frozen facility north of Montreal is progressing as planned, and we are still aligned for a 2023 opening. These long-term investments in our supply chain will enable us to add capacity, increase productivity and improve service to stores while benefiting from lower operating expenses. Looking ahead, we continue to face higher than normal inflationary pressures in labor shortages, and it is difficult to predict how long this situation will last. But as we will be cycling the start of higher levels of inflation last year over the next few months, one could expect that the inflationary pressures will start to moderate. But as I said before, we don't have a crystal ball. In the short term, we are seeing our food tonnage improving, and we expect food same-store sales to grow at a higher rate than in previous quarters because we are now cycling periods where at this time last year, there were no significant pandemic restrictions in place as we are experiencing now. On the pharmacy side, we expect growth in prescriptions to moderate year-over-year levels -- sorry, to moderate versus year over year-to-date levels given the high number of visits to physicians in the fourth quarter last year. We also expect front of store revenues to remain strong, driven by over-the-counter sales. With that, thank you, and we'll now take your questions.
Operator: Thank you. [Operator Instructions] And your first question will be from Irene Nattel at RBC Capital Markets.
Irene Nattel : Eric, you talked about consumer behavior and rising promotional penetration. Can you tell us what you're seeing in terms of other color around shifts, private -- how much are you seeing private label grow? Are you seeing this sort of fresh to frozen, transition? Anything that you can help us with would be great.
Eric La Flèche: Thank you, Irene. So as I said, inflation increase, accelerated. So what we described in the last quarter, the discount -- the shift to discount also accelerated, which we just said, shift to private label, trading down, proteins, all of the above is happening in our stores. Consumers are feeling it. A lot of consumers are on budget and fixed income and we worked extremely hard in all of our banners to provide great value. I think our promotion strategies are very effective. We have a strong private label offering. So all of these elements, we're able to provide good value to the customers and work with the shift. We're well positioned with all of our banners. Clearly, our discount banners are growing faster as is the whole market, and we're capturing some of that. So happy with our performance, happy with what our teams are doing to navigate in this tough environment to provide value to consumers. Clearly, a lot of consumers are feeling it, and we're working really hard to meet that challenge.
Irene Nattel : Understood. So is it safe to say that promotional penetration is above pre-pandemic levels?
Eric La Flèche: It's there or slightly higher. So it increased a bit quarter-over-quarter. Again, to be expected when inflation rises like that, when price points go up, our costs have gone up significantly. We are absorbing some of those costs and not passing on all of our cost increases. So the consumer is reacting and adjusting their behavior, a lot of consumers are on budget. Overall, I'd say the consumers are healthy. Unemployment levels are record low as people are working, but these are high inflation numbers at the pump in the stores. So there's a shift for sure to value. And it's our job to provide the best value we can.
Irene Nattel : Understood. And just finally, Eric, any shift in the competitive intensity competitive environment?
Eric La Flèche: Not really, always intense. It's a very competitive market, but we haven't seen irrational behavior or anything very different. It remains very competitive.
Operator: Next question will be from Mark Petrie at CIBC.
Mark Petrie: I know you called it out in your outlook, but hoping you can go into a bit more detail about the various pressures you're experiencing in your operating costs and how, I guess, relative to a more typical environment, you're managing that pressure. And I guess, most specifically interested in comments on the labor market, but also more broadly.
Eric La Flèche: Yes. So we've always managed our costs as best we can, and the teams are very focused on that to provide value to the customers, we have to have competitive costs. But there are pressures, transportation, fuel, labor, labor contracts, we are renewing are at higher rates, increases than we're used to. But that's the market we're in. I think we're doing a good job of managing that, keeping costs under control in the circumstances. Not much more I could say. Labor shortages are causing pressures too because that increases over time to supply our stores. So we're -- we have higher overtime percentages than we're used to. That's something we have to manage through. And I think we're doing an effective job. Supplies are up. Again, that's industry-wide market-based increases, and it's just part of our cost that we have to manage. So, a lot of focus on it. I think the numbers we present today, our expense rates are good, and teams are doing a good job.
Mark Petrie: And on the labor market, would you say it's improving from past quarters or recent quarters or still stable or worsening?
Eric La Flèche: I wouldn't say it's worsening, but has not improved, so pretty stable. The demographics are what they are. The general economy is what it is. There's a lot of open positions out there, and there's not enough workers to fill in. And those pressures remain.
Mark Petrie: Understood. And I guess just last on that topic I mean, how should we be thinking about the level of SG&A increases in the coming sort of 12 months either on a rate or dollar basis? I think I heard in your commentary, you expected the level of increases to moderate, but just wondering if that's correct? And what's the driver of that? Is it really just sort of transportation costs or other?
Eric La Flèche: I'll let Francois answer the SG&A. My comment on the moderation we expected or -- I said one could expect inflation year-over-year to start to moderate over high levels last year. Our SG&A, we'll manage through that.
François Thibault : Yes. No, that's right. We stopped disclosing specific COVID expenses that were $38 million last year, including gift cards. So as I said on earlier calls, we're no longer segregating COVID expenses as the line is getting pretty blurred. But we do have more of these type of expenses than pre-pandemic, more cleaning, disinfecting the wipes of the entrants. And there's increases in other expenses that we pointed out. Supplies, energy, the travel expense, et cetera. So we manage it according to -- we have sales growth. We have gross margin, and we manage our SG&A, as we always do and trying to keep it in line with the sales increase. So you should expect a similar performance going forward than what we've posted this year.
Mark Petrie: Okay. Understood. Sorry, just to clarify, when you're talking then about the inflation moderating because you're lapping bigger numbers, you're talking about the -- there's like CPI like the top line inflation, not as much the cost inflation.
François Thibault : That's right. That's right.
Operator: And your next question will be from Michael Van Aelst at TD.
Michael Van Aelst : I just wanted to follow up on a few of those cost questions. On the labor side, do you have a number as to like the percentage of jobs that are unfilled right now?
Eric La Flèche: In our company?
Michael Van Aelst : Yes.
Eric La Flèche: Yes. It varies, stores, DCs, offices, but it's more than it usually is. For competitive reasons, we don't want to go there and disclose all of our statistics. But we have more open positions than we're used to and that we'd like to have. And -- I’ll say.
Michael Van Aelst : Okay. So you're also saying in the outlook that if the labor situation stays tough and the inflation stays tough for a prolonged period of time, then that could put more pressure on margins. What do you figure -- like how much longer do you think this really has to be going on before it's difficult for you to offset in the other parts of your business?
François Thibault : Tough to say. I mean we've been -- this year, we've called it every quarter for the last 3 quarters that we haven't been able to pass on all the cost increases in food. And so, our food margins slightly down, compensated by, as we said, by a better performance in pharmacy. So we're not talking -- it's something we can manage, but it is putting pressure on margin. And our comment is just that if this high inflationary high price environment continues, it will continue to put pressure on margin. But we find ways -- we find ways through our procurement. We find ways through our merchandising. We find ways through our cost containment to contain those cost increases. But it is putting pressure on margin, for sure.
Michael Van Aelst : Okay. So the comment, the outlook comment wasn't to suggest that it could -- that you would expect it to increase if it stayed prolonged just that you would expect it to continue to put some pressure.
François Thibault : Yes.
Michael Van Aelst : All right. On the food side, you talked about same-store sales or at least tonnage starting to improve as you lap some easier comps on that front. But now that you are lapping those easier periods, do you think tonnage can actually start to be stable year-over-year? Or is there still some pressures or headwinds from people traveling a lot more and staying in the airports for 12 hours [indiscernible] time?
Eric La Flèche: Yes, that's -- we expect tonnage, as I said, it has started to improve. We don't give guidance too far out. We're just giving you the current landscape as we're comparing apples-to-apples. The Q3 over last year, there was a lot of noise last year, COVID noise in Ontario, different markets, had different restrictions, same thing in Quebec for extended periods. So the number -- the same-store sales numbers are affected by that, and I have alluded to tonnage. So as we are now in a period of apples-to-apples "without restrictions", we feel confident about our same-store sales numbers and our tonnage. So I'll just leave with that.
Michael Van Aelst : Okay. So we could see some tonnage stabilization that not just lower decreases, but maybe stable finally.
Eric La Flèche: Yes.
Michael Van Aelst : Okay. All right. And you mentioned the strike impact. Are you able to quantify a sales impact from the strike? Or were you able to stock yourselves adequately?
François Thibault : So clearly, there was a sales impact and a lost -- we lost some sales over a few weeks and lost some margins there. I'm not going to negotiate the short-term incentive of our Ontario division with you on the phone here. But we didn't isolate it for our results. But clearly, yes, there was an impact.
Operator: [Operator Instructions] And your next question will be from Vishal Shreedhar at National Bank.
Vishal Shreedhar : Metro like others, has indicated that discount continues to gain traction. Just wondering, in the conventional banner, is that responsible for most of the pressure in gross margin, the gross margin rate? And if that's true, other than increasing promo, what are the tactics that management can employ to improve performance at conventional?
François Thibault : I wouldn't say that the shift to discount -- yes, overall, it has an impact on gross margin. You could say that, but our conventional store margins are holding up pretty well overall. It's a mix. There are some categories in our conventional stores that are growing much faster versus last year and versus even 2 years ago, hot food, deli, those departments are doing really well right now in our conventional stores. Those are, as you know, are high-gross margin departments. So the total margin in our conventional stores we're not -- we're pleased with it overall. There are declines in other categories in the store as the shift happens to discount. But overall, I think we've done a good job. We're absorbing cost increases or some cost increases passing on some for sure, but absorbing some on our own. The gross margin on the food side is down slightly, and there's a lot of factors in play if the discount categories within the specific banner. So again, it's not easy to give you broad strokes being, this is it. Gross margin is explained just by that. There's a lot of factors at play.
Vishal Shreedhar : Okay. So it's not a fair comment to say that conventional is responsible for the bulk of gross margin rate pressure. That's not a fair comment?
François Thibault : Conventional. The more you shift to discount at a lower gross margin, that will have an impact, but as I said, financially it's pulling its own pretty well.
Vishal Shreedhar : Okay. With respect to the comment that you made about trends improving as you lap the year-over-year restrictions, are you seeing that in conventional as well? And there was a rush to restaurants kind of on a year-over-year basis and particularly in the warmer months. Will that help trends call it, in the winter months as well as there's a little bit that pent-up demand fades away from restaurants to some degree?
Eric La Flèche: I'm not sure I understood your question really.
Vishal Shreedhar : Okay. So with respect to conventional, the improving trends that you commented on the outlook, are those equally applied? Or is it is one sector getting more benefit? And that was part one of it. And the second part was, there was a rush to restaurants in kind of the summer months for a variety of reasons. As that kind of pent-up demand in restaurants fades away, does that help one sector or another?
Eric La Flèche: Yes. First part, yes, it was equally applied. There's no big difference because of those improving trends. Both will benefit. The pent-up demand to restaurants last year, that's what we're cycling and that's what I say that our cycling trends are better and food tonnage trends are improving and same-store sales will be stronger because exactly that, we're lapping a period last year where it was pretty much opened up like it is this year. So again, I'm repeating myself, but we expect stronger same-store sales going forward for sure.
Operator: Your next question will be from Peter Sklar at BMO Capital Markets.
Peter Sklar : Okay. So just back on this big negative tonnage trend that you experienced during the quarter, which -- and we agree with that you've largely attributed to -- you're up against very strong pantry stocking quarters if you look over the last 2 years because of the COVID restrictions. But what about -- like what's your sense of the consumer? Like how is it going to play out going forward? Because clearly, the consumer is squeezed and there's that whole issue is the consumer actually going to buy less tonnage to put less items in the basket. So just maybe elaborate a little bit about why you're so positive about your tonnage trends, given that the consumer is under a lot of pressure and maybe the consumer is not going to put as much in the basket as you're anticipating maybe you're seeing trends that make you more positive?
Eric La Flèche: Again, no crystal ball, will consumers eat less and put less in their baskets. Personally, I don't think so. I think what you need to focus on is really the year-over-year comparison. I think what we're lapping last year in the current weeks over the next little while, we're going to be comparing apples-to-apples, and I think we'll do pretty well. And I think the consumer -- yes, the shift to discount is there. Yes, there's some trading down in proteins, but number of items and tonnage, I think we'll be there in our stores. That's we think.
Peter Sklar : Okay. And Eric, what about this trend of return to restaurants? So recipes, banners and Tim Hortons Canada reported booming second quarters as people return to restaurants. Do you think you're feeling that in the grocery space at all?
Eric La Flèche: Well, I can tell you the categories in our deli departments and hot foods are up significantly. We're up to pre-pandemic levels overall, and that's with some of our urban stores like Toronto, not back to pre-pandemic levels because the traffic downtown is higher than it was in the pandemic, but it's not back to where it was. But we're seeing that trend in our hot foods and ready meals department. Clearly, we are, and that's helping our Metro stores, for sure. Pizzas, chickens, sandwiches, those sales are up significantly in our Metro stores. And I think it's great value for the customer versus a lot of the restaurants. Customers are seeing it, and that's what's helping our sales. So we expect that to continue.
Operator: Next question will be from Chris Li at Desjardins.
Christopher Li : First question, Eric, just based on the market share data that you have access to, are you able to comment whether you managed to maintain or gain market share in your full service and discount formats?
Eric La Flèche: Well, we don't segregate by formats or by province. I can tell you that overall, we pretty much maintain market share. And we're pleased with that because versus last year, like I said, I keep referring to last year of pandemic restrictions last year. There's a lot of noise year-over-year on market share comparisons. I think the more useful exercise is to compare to 2 years ago and 3 years ago, and we're very pleased with our market share overall in both of our markets.
Christopher Li : Okay. And then just going back maybe on your food same-store sales, if I look at it on a 3-year average basis, if my math is right, I think you did sort of 4% in Q3, which is obviously a very good base. And so, trying to tie that with your comments about you're seeing acceleration in food same-store sales quarter-to-date because you're lapping the COVID -- the bump last year. I'm not giving -- asking to give any sort of guidance or anything, but is sort of 3% to 4% a good expectation going forward given you're lapping these type of benefits from last year?
Eric La Flèche: Yes, I don't want to give a specific number, Chris. We're trying to give some color on the outlook to say, look, as we are now comping cycling periods last year where there were no restrictions or these no significant restrictions, we should -- same-store sales should be higher than what we've had in recent quarters. So we just started the quarter, so I don't want to give a precise number. I'll leave it at that if -- I'll leave it at that.
Christopher Li : And maybe just switching gears to your prescription in same-store sales growth, obviously, it was very strong and you noted the COVID-related activities were a key driver. Are you able to kind of tease out for us like how much of that was COVID related activities? And then maybe related to that is I understand these sales have very good gross margins just by nature of the business there. And so do you expect a bit of a maybe a headwind going forward as you start to lap these COVID-related activities going forward?
Eric La Flèche: So the 5% -- the 5.6% increase in prescription drugs is helped by about 1% or so with test and vaccines and that COVID-related activities. That's a rough number. Are we going to have more -- as many or less tests going forward? Is there going to be a nice wave? We don't know. Who knows? It's hard to say.
Christopher Li : Okay. And then maybe just last one, just also on your OTC and cosmetics. And obviously, higher margin categories, you're benefiting from the recovery of those sales. I mean, what inning do you think you are at in terms of that recovery? I'm just trying to figure out like how many more quarters of tailwind can we expect more margin recovery perspective as these products continue to recover?
Eric La Flèche: Again, we don't give specific guidance forward. I know you're trying to do all your models, but I think the key message is we had very strong front store sales in our pharmacy business, at Jean Coutu and Brunet in the quarter, double digit. Clearly, over to the counter cough and cold products are flying, COVID symptoms or COVID-like symptoms are out there and people are coming into our store. Those are traffic building categories, and that's contributing to sales of other front store categories. So very pleased with that. How does that continue to what level? It's hard to say. But as I said in the outlook, we expect in the short term to have continued strong OTC sales. Cosmetics, we're -- I think I would take in Quebec around Christmas -- things were pretty much back to normal on the social front. So that's where you can maybe expect things to compare less favorably.
Christopher Li : Okay. And maybe just a last one for Francois. Just on your NCIB, is it fair to assume you're likely going to be on track to completing most of your NCIB?
François Thibault : Yes. Yes.
Operator: Next question will be from Mark Petrie at CIBC.
Mark Petrie: Actually, another one for Francois, just to ask about CapEx. It picked up a bit in Q3, but not overly substantially. And so how should we think about the full year coming in? And then also any view on next year how and levels and also how the balance may be evolving from infrastructure to customer-facing?
François Thibault : So I still see a forecast that should take us close to the guidance we gave, which is around $700 million for the year. There's always some timing issues sometimes but pretty much more or less around that number. And next year, you can expect a similar level. We have -- as Eric said, we're on track with the supply chain investments and the retail network. So I expect a similar level next year.
Mark Petrie: Okay. And netting out to similar type of square footage growth?
François Thibault : Yes, it's going to be around that level. It should be plus or minus a few bits, but yes, should be around that level.
Operator: And at this time, we have no further questions. So I would like to turn the call back to Sharon Kadoche.
Sharon Kadoche: Thank you all for your interest in Metro, and we will speak again soon to discuss our fourth quarter results on November 16. Thank you.
Operator: Thank you. Ladies and gentlemen, this does conclude your conference call for today. Once again, thank you for attending, and we ask that you please disconnect your lines.